Operator: Good morning, ladies and gentlemen, and welcome to the Osisko Gold Royalties Q1 2019 Results Conference Call. After the presentation, we will conduct the question-and-answer session. [Operator Instructions] Please note that this call is being recorded today, May 2, 2019, at 10 AM. Eastern Time. Today on the call, we have Mr. Sean Roosen, Chair of the Board of Directors and CEO of Osisko Gold Royalties; Mr. Bryan Coates, President; and Ms. Elif Lévesque, Chief Financial Officer and VP, Finance. I would now like to turn the meeting over to your host for today's call, Mr. Sean Roosen.
Sean Roosen: Welcome to the call everybody. We're working from our presentation on our website, Q1 results for Osisko Gold Royalties. As you look at the presentation, we have a forward-looking statement there that we'd like everybody to review because we will be making some forward-looking statements and examining some other aspects that are outside of our control. On to page 3 of the presentation, the highlights for Q1 of 2019. We are just under 20,000 GEOs at 19,753 ounces, revenues from royalties and streams sat at $33.5 million, up nearly $1 million on quarter-on-quarter for 2018, and net cash flows from operating activities sit at $24.8 million, up $1 million from quarter-on-quarter for 2018. We have a net loss of $26.5 million attributable to the extension of the impairment of a tax pool. Incurred a impairment charge of $38.9 million on the Renard stream, which we will talk about. We have adjusted earnings for Canadian $5.8 million or $0.04 per basic share for the quarter. We recorded a cash operating margins of 89% from royalty of streaming interests. We closed the previously announced senior secured silver stream referenced to 100% of future stream from the Horne 5 property owned by Falco Resources. We also repaid in full our revolving credit facility. We now have $450 million available on our credit facility. We acquired in for cancellation 852,500 common shares of the company for $10.2 million on our incentive to normal course issuer bid at an average of $11.96 per share. We also declared a quarterly dividend of $0.05 per common share, paid April 15, 2019 for shareholders on that record date.  We're going to talk first about the Renard impairment that we took this quarter, and I'm going to pass to Elif Lévesque to run you through that.
Elif Lévesque: Good morning, everyone. One of our cornerstone assets is a 9.6% undivided interest in all diamonds produced from the Renard mine in Canada, as you know, and it's actually secured ranking in terms of its position.  And in March 28, 2019, Stornoway, the operator of Renard's mine, announced significant impairment charge, which was $83.2 million on the Renard mine, which was reflecting an outlook of lower-than-expected diamond pricing. And this was determined to be an indicator of impairment and we had to actually test our asset as well, and its result, an impairment of $38.9 million, $28.6 million net of income taxes. I think what is encouraging to know is that the operations at Renard mine are going well and the diamond coming out of the mine is of good quality [ph] with a good, loyal demand from the buyers. So the pressure is really coming from the current diamond pricing environment, but I think it's also important to note that we do see a steady growth in the demand for diamonds. If we go to the next page, in terms of the GEO production. Actually, this year, other than the Renard mine, diamond mine impairment charge, it was quite in line with same period last year. We stand at 19,753 GEOs compared to a little over 20,000 GEOs last year, with 89% cash operating margin compared to 91% last year, which is pretty much in line.  As I mentioned, a slight reduction is really kind of a result of the mix of streams versus royalties. So we are still anticipating to meet our guidance with stronger GEOs this year, which mean 85,000 to 95,000 GEOs with an 88% cash margin. Slide 6 kind of shows the mixture of the GEOs by asset and by product. You will see again a strong quarter from Canadian Malartic coming out from the royalty side. We're still pretty much focused on precious metals. If you look at GEOs by product, gold and silver together result in 85% from precious metals GEOs.
Sean Roosen: So if we have a look at our cornerstone asset, the Canadian Malartic mine, we'll continue to see exceptional performance from this mine, over 697,000 ounces produced in 2018 and Q1 produced 167,300 ounces for a net royalties to us of 8.3 million, 8,300 ounces so far in Q1 this year on a year-to-date. So Canadian Malartic continues to be a great performer. Over to Page 8. As you look at our growth for the CM section of the company in 2014, we've seen continued growth from a full first full year of 30,500 ounces to our current 80,000 ounces from 2018 and on to our guidance for this year for 85,000 to 95,000 GEOs, and still maintaining high margins, looking at 88% operating margins on that. Elif, over to you for the financial performance results.
Elif Lévesque: Sure, Sean. So again, if you look at the performance in terms of financials, the revenues and cash flow from operating activities and earnings were pretty much in line with the same period of last year. We had slightly higher in cash flows for operating activities, which results little better working capital impacts as well as some lower interest as we paid off our debts. If we look at the earnings and loss year-over-year, quarter-over-quarter compared to last year, again, the losses is a result of the impairment charge from Renard. Other than that, if it wasn't for that, I think we would be sitting at $2.1 million earnings, which would be very similar to the same period last year. Page 10 is a kind of a revenue breakdown as well as our cash margins in terms of a different interest that we own. If we look at the royalties and streams together, this year was slightly better than last year, $29.9 million compared to $29.5 million last year. Off take is a result of last year having a more steady increasing gold price was sitting at $0.7 million compared to $2.4 million last year, with our cash margin still standing pretty strong at 89% for 2019 first quarter. Page 11 is kind of a summary. We've kind of mostly went through all of those items. I would go actually to Page 12, which kind of talks a little bit about different activities affecting our cash flow. If you look at the investing items, we invested $28 million in acquisitions in royalty and stream interest. Of that, $19.6 million was actually for the Eagle Gold project. If you remember, we had committed $98 million last year for acquisition of a 5% NSR. And of that, the $19.6 million represents the remaining amount to have been paid, and now it's completely paid and the construction is going very well at the Eagle project with 90% complete. Another $5 million was on the Falco Silver Stream. We closed during the first quarter as the Falco Silver Stream has originally paid $20 million before this year. So the $5 million represents the remaining amount of the first tranche on the payment of $25 million. The future payments will be depending on obtaining some of the milestone by Falco, the first one being to receive some of all the materials they're reporting [Indiscernible]. We also disbursed $13.1 million in short-term investments and $5.8 million acquisition of marketable securities. If you look on the financing side, the financing activities amounted to $42.7 million. Of that, $30 million was the payment of revolving credit facility. With that, we have no amount remaining drawn on our credit facility. And also, in January, we paid $7.9 million under the 2018 NCIB program, with an acquisition price just a little under $12 per share. And we also continued our payments for the dividends representing $6.3 million for the first quarter.
Sean Roosen : Thank you, Elif. So the financial position as we sit today is very strong, $108 million in cash. We have our convertible outstanding at $324 million. It's not due for another 2 to 3 years. Investment portfolio is valued at $403 million. And as Elif said, our debt credit facility sits at an undrawn amount of $450 million. So between the credit facility and the cash, about $550 million available for investment plus the $403 million of investment portfolio, $400 million of liquidity on the balance sheet. Page 14, cumulative return to shareholders. This is a slide that we, as a management team, are particularly proud of. We started giving dividends in the first year of the existence of this company. And today, we have returned $139 million to shareholders since 2014, which in 2019 cumulative was $94 million of dividend in addition to $45 million in share buybacks to get to that $139 million. So from our standpoint, we continue to work on our balance sheet, but we are in great financial shape and continue to return investment to shareholders. In terms of -- on Page 15, in terms of our growth, we see the 85,000 to 95,000 ounces from this year. And as we go forward in the period from 2020 to 2023, we see the Canadian Malartic project, the Odyssey zone developing; Back Forty in Michigan; we have the Amulsar project as well; the Eagle, the Victoria asset.  The Yukon is scheduled to come online with ore going on the pad, pure it maybe at the end of the month; and also the first gold pour the second half of the year. Windfall Inc. is our lead project in our accelerator model with over 21 drills turning there, an exceptional [Indiscernible] also.  They've been underground to take bulk samples. We are also a participant in the Mantos Blancos Expansion located at Chile which we have a silver stream on, and they're looking to get over 10,000 GEOs a year from that asset. And then within the other internal growth assets within the group we see another 10,000 to 15,000 ounces in that period coming up.  After the 2023 period, I won't go into too big a detail, but we see continued expansion resource growth in the existing pipeline, and I believe that there is no further investment required from Osisko to earn this growth. It's already baked into our existing portfolio. So we have a lot of growth built into the next 5 years into the existing portfolio. Just a quick update on the Eagle project owned by Victoria on Page 16, I went to visit this operation last week. We're plus 90% complete on the construction. Things have gone exceptionally well and it's going to begin the heap leach here at the end of the month.  It's worth noting that in the Eagle project, the weather conditions there, they have the same level of precipitation as Phoenix, Arizona. So we're able to carry out construction all 12 months of the year. We didn't lose any days through the winter, and we're quite excited to see what happens this year as we get that mine into operation and continue to go forward with that as a $550 million mine.  They're on time, on budget as we speak and looking great to provide us with the [Indiscernible] of that mine comes online at about 180,000 ounces a year, of which we have a 5% royalty so that's going to add significantly to our GEOs, representing somewhere between 8,000 to 10,000 ounces gold GEOs per year on a go-forward basis. Page 17, brief summary of the company, as we talked about the cash position sitting at $108 million with our investment portfolio at $403 million and our debt facility at $450 million, we're close to $1 billion available liquidity on the balance sheet and on schedule to beat our guidance for this year at 85,000 to 95,000 ounces, still paying a dividend of 1.3% and still executing our strategy on the accelerator model.  We're going to have some exceptional results on our development assets led by Windfall and then Barkerville and Falco is in the permitting cycle and then, of course, our Victoria, which is ready to come online. In terms of where we sit in the pack of royalty companies, we continue to be a growth portfolio. And I think that as we move forward and these assets start to mature, we're going to be able to deliver some significant returns to shareholders on it. On that, we really have a one summary comment. 2018 was a pretty good building year and 2019 is very strong. And I think here at Osisko, we're pretty excited about what prospects are for this year as we go forward. We're quite optimistic in terms of where we can see further investment in the sector as well. Lots of things are going on in this space, and we continue to see significant opportunity for us on the growth side for both streaming and royalties. And at that point, I'll pass it over for questions. Thank you very much, everyone.
Operator: [Operator Instructions] Your first question comes from the line of Cosmos Chiu with CIBC. Your line is open.
Cosmos Chiu: Maybe first off if I could start off with the Stornoway and what's happening at Renard. Clearly, the market was concerned. Yesterday, your share price was down 8% with a write down. Sean, how concerned are you? Clearly, they've been in production for 2 years. They're not really making a lot of money yet or not -- no money yet. The open pit has been shut down. There were some mechanical issues in January and February. There has been management changes, Orion selling out. I know you wrote down your investment by $20 million. You still have about $100 million in book value in Renard. How close are you to it? How concerned are you with it?
Sean Roosen: I think what we said, Cosmos, is actually we're trying to lead the charge and make sure that we're part of the solution here. Both on a technical side and the financial side, we're teamed up to help the company. Our partners at the Caisse de dépôt et placement du Québec, which is the government of Québec, and also our partners at Triple Flag, we've all been working to shore up the balance sheet. As you know, we did a financing earlier. We continue to be very positive on the mine. Shutdown of the open pit doesn't really concern us because the transition to the underground is what's important. The underground is fully online and working right now. We see the diamond quality having been well accepted by the diamond markets. We're seeing the product has a loyal following. Obviously, commodity prices are what they are; they come and they go. We think that the natural diamond market is strong, and we've reviewed with the diamoners what they see. And there is a slight demand story developing in the sector as some of the other mines like Argyle will come off-line.  So yes, I think it's a standard ramp-up story. We're not too concerned about it at this point in time. [Indiscernible] medium-term basis, obviously, the short term. We're are there to work with our other partners. The good thing for this company is it has great sponsorship, both from the government of Québec through the Caisse de dépôt and the other stream with respect to ourselves and Triple Flag. We're pretty close to the story [Indiscernible]. And it's here in Québec so we have the benefit of the Canadian dollar. And I think that this is going to be a great mine. And like all great mines the ramp-ups are owning to us.
Cosmos Chiu: Yes. Certainly, Elif sort of mentioned that as well, saying that you have secured ranking on the asset here. But could you remind us, like nothing is going to happen, but in the case where it does go through bankruptcy ceases to be a going concern, how does your investment rank against all the other investments?
Elif Lévesque: So we're senior secured, and we share predecessor [ph] with only one other lender. I think that's as far as we can go at this point.
Cosmos Chiu: So there's nothing ahead of you, Elif?
Elif Lévesque: No.
Cosmos Chiu: Okay. And how much is the other lender's investment?
Elif Lévesque: About 120.
Cosmos Chiu: Sorry, how much?
Elif Lévesque: CAD 120 million.
Cosmos Chiu: Okay, okay. Got it. And I don't know if this is , Sean, I'm not sure if you're the best person to ask here. Clearly, you might not be the target market, I'm not the target market either, but you mentioned diamond prices here. And we've been hearing a lot about synthetic diamonds and that's , its impact on real diamonds or whatever you want to call it. How do you see the competition coming from synthetic diamonds? And is that going to have any kind of long-term impact on what they're producing at Stornoway?
Sean Roosen: So you said, Cosmos, I'm not the target audience of a millennial guy, but we had an update on diamond pricing a couple of days ago. And we still haven't talked to a millennial man who would buy a diamond and propose to their wife using a synthetic. 
Cosmos Chiu: That's good research.
Sean Roosen: That's a fairly risky proposition from what we were led to believe. We do see growth in the diamond market. And as you know, we also work on a project with Lucara on their block chain traceability of original diamonds. We're fairly well up to speed on the space and what's happening there. And we think that providence of luxury goods is on the growth side of it and people are spending money, especially the millennials, on things that they see as genuine. So [indiscernible] luxury goods space, especially anything that has providence has a very strong growth pattern right now. Obviously, there's a bit of a transition. So we're quite optimistic. When we originally got into this investment, we had looked at it 2021, 2022 sort of increased diamond price. We knew that there was probably some choppy markets to get through when we took on the investment. Unfortunately, that prediction has proven true, but as we look forward and everything that we're seeing on the diamond space, especially the Canadian diamond side, Canadian diamond side still has the brands. And here in Canada, we see other mines shutting down like Victor. Ekati doesn't have much mine life left. And then, of course, we have the bigger ones like Argyle and the rest that are apparently short mine lives. So all in all, as I said, Cosmos, I think that this is a medium-term issue, but obviously, we're dealing with the short-term stuff.
Cosmos Chiu: Yes. And maybe switching gears a little bit, turning to another sort of problem child for you, Amulsar operated by Lydian. Number one, what's your current book value on that investment? And number two, reading up on this forbearance facility that you and the other creditors have in place with Lydian, essentially helping them through this more difficult period. But there's also a sort, I don't want to call like a deadline, but there is a date here, June 30, 2019, in terms of they need to figure out if there's any alternative ways or alternative strategies. I guess my second question is, after the book value, is how rigid is that date? And what do you need to see to kind of continue with this forbearance?
Sean Roosen: So book value is $183 million. In terms of what's going on directly on the project, I'd rather not comment any -- on any specifics on that situation as it is somewhat political. There's ongoing discussions with the government. There has been a couple of court dates where they went through that were positive for the projects in terms of dealing with the access to site closure. So things are evolving, but I don't think it's proactive for us to do too much deep dive on it right now because I'm not directly involved with the execution of that work. But actual side of it, we're very active with our other partners on this. Again, it's a good investor group. It's quite capable of dealing with this twin EPRD.  So I think that there has been an evolution on it. The management team with the company has done their work and we continue to deal with it. It really revolves around the continued concern over water quality there, which I think that's been dealt with by a few different consulting groups, and hopefully we can put that issue behind us. It really is a spectacular project that -- from a heap leach standpoint at 1.2 to 1.4 grams. So all the equipment is on site. So unfortunately, they've experienced this delay, but the project is exceptionally high quality. So we continue to be a participant and a monitor on this. We feel that this project goes forward, but obviously, we're not kind of predict time schedules at this point in time.
Cosmos Chiu: And I know you can't tell us much, Sean, but should we expect a lot of increased activity around the June 30, 2019 date? Or it just -- or is that really just a number?
Sean Roosen: I think we'll have to see how it evolves, Cosmos. I don't want to comment further than that because of ongoing issues there that are beyond our control.
Operator: Your next question comes from the line of George Topping with Industrial Alliance.
Sean Roosen: George, are you there?
Operator: Go ahead, Mr. Topping, your line is open. And we'll proceed to the next question. Your next question comes from the line of John Tumazos with John Tumazos Very Independent Research. Go ahead. Your line is open. 
John Tumazos: In the first quarter, for several projects, your revenues didn't seem to exactly coincide with the mines. Maybe there's delays in different payment cycles. For example, the Brucejack offtake revenues were off about 40%. The other category in gold fell 137 from 782 GEOs. Could you give us a little explanation of the Sasa stream and the quality of base metals royalty that also had declines? The flagship projects were up. These other little things, I guess, are a little more volatile.
Sean Roosen: John, in terms of where we are, obviously, the Q1 seasonality, there's some weather issues around different mining operations. But specifically on Brucejack, the offtake agreement can vary a bit because it's really a volatility trade. So gold prices are stable. Volatility is down and the earnings on the trade are down.  So if we have significant volatility within the gold price, we can see that revenue go up. In terms of what we're doing, and then it's not a super significant amount of gold that comes to us. In terms of what we're doing with other operations, we have to take deep dive into which ones you're referring to exactly, but we've seen good growth in most of our assets.  And variation from Q1 quarter-on-quarter from year-on-year is less than 1,000 ounces. So we're pretty happy to see some of those things, and we did take a little bit less on our GEOs on Stornoway, again which was part of the difference. So I don't know if I've answered your question completely or not, but let me know if that helps. And thank you, John, and continue on with your Very Independent Research and hoping to see you soon down in New York. We have, as of now, no other questions. I just offer a final comment. In terms of our opportunities in this space, we see quite a bit going on in both in M&A and project financing. So we're full at working right now and I think that our growth pattern in the company, as we see our other projects evolve, continues to offer us significant amount of value-building that we can create for the shareholders. And also, I'd like to say André Gaumond retired from our board to go and continue his hobbies of hunting moose and making maple syrup. We'd like to thank André Gaumond, who has been an exceptional friend to the company and supporter and a Board member for a long time, having joined us when we acquired his company, Virginia, and we'd like to wish André a very happy retirement. I see we have Mr. Topping maybe back online. Operator, can you see as George Topping's question can be asked?
Operator: Mr. Topping with Industrial Alliance Securities.
George Topping: Great. Can you hear me this time?
Sean Roosen: Yes, we hear you now, George.
George Topping: Okay, great. Some technical error there. I apologize if it's already been asked, but regarding Mantos, the $70 million buy down option, are you expecting that to be exercised? Or is your base case not to be?
Sean Roosen: I mean it's contingent on market conditions, obviously, George. I mean we buy stock back when we feel that it's appropriate. We don't have any set schedule for it and it's sort of a quarter-by-quarter thing, but we most of the time, we keep it at a normal course issuer bid in place and in terms of market volatility management. And we believe in our own stock, and we believe in our company. And if it is undervalued, we will purchase a stake.
George Topping: Yes, understood diamonds, but reading on at Mantos where they've an option to buy down the stream at for $70 million.
Sean Roosen: Sorry, I'll pass it over to Joseph, who is on the call.
Joseph Plante: George, they do have that option and the option was conditional on them delivering a certain number of ounces before it being -- before them being able to execute on it. We perceive that those number of ounces will be met. However, in discussions with the operator, what we can understand is their capital allocation divisions right now are focused on expanding the mine over allocating money to the buyback.
George Topping: And then just lastly on the boom at James Bay Area, obviously, it's a very exciting area right now. You do have earning there with Osisko Mining. Are you actively looking out for other properties and perhaps getting more involved in the funding of exploration in that area?
Joseph Plante: Well, as you know, we picked up the Virginia portfolio projects in James Bay which were subsequently transferred to Osisko Mining. Osisko Mining is continuing to evaluate, and they have one of the largest exploration budgets if not the largest exploration budget in Canada this year, with the focus being on our Windfall camp with they have 2,000 square kilometers lands on. Osisko Metals is also working in the area, and we continue to evaluate those areas. Maybe one more comment on the James Bay area, with Newmont taking on Eleonore we expect to see intensifying exploration on the Eleonore side as well. So anything we can do to support at the James Bay area would, obviously, it's a very significant interest for the group and we continue to see what can happen there. Osisko Mining is also generating an exploration finco for some of these things called 03, and they're going to be prioritize their opportunities, but we think we're, obviously, very Canadian-centric and very Québec focused. And because it's part of the priority of the plans are, we see that as plays a significant opportunity in investment for us as a Québec specialist.
Sean Roosen: All right. Thanks, everybody, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.